Operator: Good day, and welcome to the IAC Reports Q4 2016 Results Conference Call. At this time, I would like to turn the conference over to Joey Levin, CEO. Please go ahead, sir.
Joey Levin: Actually we are going to let Glenn get the honors on reading the opener.
Glenn Schiffman: Thank you, Operator. Good morning everyone. Glenn Schiffman here and welcome to our fourth quarter earnings call. Joining me today is Joey Levin, our CEO. As you know in order to give you more time to digest our respective results, Match Group held their fourth quarter earnings call yesterday morning. The focus of this call will be IAC ex-Match. Similar to last quarter supplemental to our quarterly earnings release, we have also published our quarterly shareholder letter. We will not be reading our shareholder letter on this call. It's currently available on the Investor Relations section of our website. I will shortly turn the call over to Joey to make a few brief introductory remarks and then we will open it up to Q&A. Before we get to that, I'd like to remind you that during this call, we may discuss our outlook and future performance. These forward-looking statements typically may be preceded by words such as, we expect, we believe, we anticipate, or similar statements. These forward-looking views are subject to risks and uncertainties, and our actual results could differ materially from the views expressed today. Some of the risks have been set forth in our fourth quarter press release and our periodic reports filed with the SEC. We'll also discuss certain non-GAAP measures, which as a reminder include adjusted EBITDA, which we'll refer to today as EBITDA, for simplicity during the call. I'll also refer you to our press release and, again, to the Investor Relations section of our website for all comparable GAAP measures and a full reconciliation for all material non-GAAP measures. Now let's jump right into it, Joey?
Joey Levin: Thanks, Glenn. Thank you all for joining us and taking time out of what has been a very eventful week. We are grateful to a very strong finish to 2016 here and that was really across the board from Match to all the rest of IAC. I think we are able to enjoy that moment for a heartbeat and now we're focused on 2017 where we had some very ambitious goals for the year. This letter we try to outline for you what those goals are, so you know what you're investing in. Hopefully you all have had a chance to read that and I will let you question us on that now.
Glenn Schiffman: Operator, we're ready for the first question.
Operator: And we can take that first question from John Blackledge with Cowen. Please go ahead. Your line is open.
John Blackledge: That's great. Thank you. And Joey, after reading the letter this quarter, it reminded me that I picked up coverage of IAC in mid-09 and the relative share our performance since then has been great, I agree on the similarities now versus 2009. With that I look at HomeAdvisor's resultant guide with top-line above our expectations and EBITDA guide above the prior guide, just wondering can you discuss the key drivers of HomeAdvisor 2017 top-line growth and then also what's driving that kind of like the high mid-20ish incremental EBITDA margins. And then separately on the HomeAdvisor enterprise sales efforts, how many sales people now, where is that going to this year and can you quantify how underpenetrated HomeAdvisor is in this part of the business relative to the competition? Thank you.
Joey Levin: Sure. I don't -- do you think John there is a correlation between your coverage and the share our performance. I think there might be.
John Blackledge: Probably Joey, yes.
Joey Levin: So on HomeAdvisor growth the -- it gets us a lot of things; it's a lot of the things that we've been talking about for a little while. Its sales, growing the sales force which drives more service professionals into the network. The size of the service professional network and the engagement activity in the service professional network is really the center of all of that because that allows us to do more marketing and be more efficient on that marketing. Every dollar we spend in marketing can now be served by a greater group of service professionals with a nationwide coverage across all these jobs. So all that starts to repeat itself. And the other big thing is we are improving win rate for our service professionals and as you improve win rate for the service professionals they can spend more money with you without really tactically raising price or sorry effectively raising price, they spend more money as win rate goes up and so that also sort of feeds into the virtuous cycle. And that all comes to margins too, I think we are, still as I said, and will continue to say we are not optimizing for margins, we are not optimizing for margins in 2017, I think we are optimizing for growth, and in particular, long-term growth, and so we will do the investments that we can to push the top-line. But when you get to a certain scale some margin certainly does start to dropdown and that's a good thing. On enterprise sales, that's a very good question. I don't know that we can actually disclose exactly how many people we have working on enterprise sales, but I will tell you that it's a real effort, we've got a dedicated group of people, we're doing dedicated events, and we are very focused on bringing those kinds of accounts over and it seems to be working very well so far. So we're pretty optimistic about that segment of the market. Do you want to go and add to the growth and margin?
Glenn Schiffman: Yes, just on the margins, the incremental margins point. As you bring up, we've been in the mid-20s year-over-year for the entirety of the year and go back to Chris Terrill's presentation that he did in December that's on our site and you see some of the metrics, the specifics that Joey articulated, you see the sales force productivity in there where we've grown sales force 2X and SPs have grown 2.6X where SP retention is 1.7 times what it used to be over the last couple of years. And then you've seen us talk about the marketing leverage where the return is 1.3 for every dollar we spend in marketing and you saw that again in our results where domestic revenue grew to 39% and marketing grew 34%.
Operator: And we can take our next question from Peter Stabler with Wells Fargo. Please go ahead.
Peter Stabler: Good morning. Thanks for the questions. A couple if I could. So first on HomeAdvisor, noticed your comment about increase in the customer contact looking back to both SPs and consumers, wondering if you could give us any color on that practice today what kind of data you're getting back whether you have anything like net promoter scores that could give us a sense of overall customer satisfaction levels and then I've got a quick follow-up on Vimeo. Thanks.
Joey Levin: Sure. On customer contact, what we're doing is sometimes when the service request comes in and sometimes after the job is completed, we get in touch with both the consumer and the service professional to see how the job went and that leads to a few things. Number one, I think customers generally appreciate that. But number two, we can offer another job and let people know what additional services we have and that that helps build the brand of HomeAdvisor and helps bring in incremental service request. And we do measure net promoter score. We do track satisfaction on both a customer and a service professional basis both have been moving in a positive direction. I don't think in HomeAdvisor we disclosed the absolute numbers. No, I don't think we disclosed the absolute numbers of net promoter score but this is something that that our sales team, our management team really everybody at HomeAdvisor is highly focused on and incentivized on.
Peter Stabler: And then on Vimeo, just a couple first of all can you give us a sense of how much of the Vimeo investment in 2017 is going to be behind subsidizing content or producing your own content? And then, secondly, can you help us understand who the target consumer is whether you have kind of flushed out profile of the person who I think you talked about Internet first but is this someone who is already in Netflix consumer, how are you thinking about the willingness of the consumer base to have on multiple subscriptions et cetera. Thanks so much.
Joey Levin: Sure. On content that will definitely be a component of the investment. I think we've said we will invest tens of millions in the content not hundreds of millions and I think that that remains true. There is a lot of components to the service. I do think ultimately the service loser dies on the quality and the voice of that content, but there is a lot of other things that need to surround that like UI, UX, just overall consumer experience, marketing promotions, so many goes into other things. But content will be important and I think where we've quantified it in the past, I think stays true. In terms of the target customer, it's a great question, Peter, and we have done a lot of work on this in terms of analyzing Vimeo's existing audience. When we think about who we target originally, it's going -- initially, it's going to be the most frequent Vimeo users. Those people tend to spend a lot of time in action sports, documentary, dramas, comedy, little bit of animation, they skew a little bit more mail, and they definitely do have other OTT subscriptions. And that is the -- that is roughly the profile then. I think that they also when we talk to them and just from general research we've done and intuition, the way that they think about their subscriptions and in particular OTT subscriptions or video content is, is the content itself compelling and am I willing to pay for that content more so than they think about could this replace something. I don't think we are not in the business of replacing Netflix or frankly replacing anything, we are in the business of offering a service to consumers, it is compelling and it is worthy of their time, and it is worthy of their money and for lot of these customers, I think some will be Cord Cutters or Cord Nevers where they were spending $60 or $80 a month in with their MVPD and if you say they are not spending that money anymore there is a lot of room between what they are spending in OTT and historical rates of spend on video entertainment in a given month. So that's the way we think about it.
Operator: And we will take our next question from Dan Salmon with BMO Capital Markets. Please go ahead.
Dan Salmon: Hi guys. Good morning, Joey, on the HomeAdvisor, Glenn, mentioned a moment ago Chris's very detailed presentation that he gave a couple of times over the last quarter but one of the things I wanted to ask a little bit more about is how you think about International. And may be if you could take a step back and tell us just a little bit more about how you evaluate what markets you want to head into are there certain metrics that you're looking at, certain economic factors things like that? And then second, the classic question around build or buy and how you evaluate that? Thanks.
Joey Levin: Yes, great question. Also something we spent a lot of time on recently. So we look at the market and first of all we just want to see that there is a home improvement market. And we have looked at that in terms of GDP and other things like that but this would be obvious but we also look at what the competitive landscape looks like and we also look at what the relationship is with the trades in that market. And generally we succeed where we can build liquidity in a -- in this among the service professionals. That's the basis of what has worked so well for us domestically. So we've done that through, you can do that more quickly through M&A if you acquire a base of service professionals and you could add on marketing and other things that we learned and the technology and platform that we learned domestically. But it very much hinges on building that that service professional base and or starting with or acquiring that service professional base. And that kind of leads to the second question which is build versus buy. It is easier to buy a service professional base. So we're actually doing both of them and we're spending capital and experimenting on both. We, in Italy, we are building organically and we have gotten to coverage relatively quickly -- nationwide coverage relatively quickly in Italy on the service professional basis and that therefore enables us to start to market nationally. And that's a pretty exciting place to be and we actually got their faster than we thought we would in Italy. So that still gives us confidence on the organic side. I think we'll continue to look at both organic and M&A and both make sense. Obviously I think if we could nail a formula purely on organically, on organic that would be nice. But I think realistically it will be a mix of both of those. You want to add to that?
Glenn Schiffman: Yes, as we look at but as we look at any acquisition opportunity that's exactly how we think about it; it's what is the opportunity by taking advantage of someone else's network already in place versus how we can build it. And as we talked about before we have a lot of learnings obviously on, from our U.S. business and how we can accelerate that network through our model, through our algorithm or tech, and our learnings how to build the sales force and market to the customers.
Operator: And we will take our next question from Douglas Anmuth with J.P. Morgan. Please go ahead.
Douglas Anmuth: Thanks for taking the question. I just want to zoom out for a minute, Joey, you make the analogy in the letter to 2009 post the spins and obviously been much of the EBITDA growth after that driven by Match. So if you could just go a little bit deeper on how you think about the positioning of HomeAdvisor today relative to Match then given the large market opportunity, the leadership position but then also increasing competition. Thanks.
Joey Levin: Sure. I'm hesitant to say this but I think of HomeAdvisor as bigger now than Match would've been. And just I don't recall the competitive landscape at the time in 2009, I mean I don't think that there was a huge competitor on the horizon, although eHarmony at that time was very real, and there were others that were very real. And there was a Facebook drive at some point, things like that on Match, but I don't recall that being a huge set of things. The thing that I look at in thinking about HomeAdvisor and the size of the HomeAdvisor opportunity is again the investment that we've made in the service professional network and how that cruises the competitive advantage to all the other things that we do in HomeAdvisor and that is a huge leap and that takes a huge amount of capital and that takes a huge amount of learning and things like that. So I'm very optimistic. The other piece that is just a fact is HomeAdvisor is in a much larger market and that is -- there is just a lot more spend that happens there. So beside just HomeAdvisor's core business, I think about the adjacencies for HomeAdvisor and I think there is a lot more opportunity there.
Douglas Anmuth: And then on competition?
Joey Levin: Yes, on -- look I feel very good about HomeAdvisor's competitive position right now. I think I have to feel very good. I think that there are things that we are doing that are years ahead of where our competition can get to based on the kind of building blocks that we established so far and you will see some of these products rollout over the course of this year.
Glenn Schiffman: And you've heard us Doug talk about the competitive mode we have at HomeAdvisor. We are working on building obviously deeper and wider with everything Joey just said, you have seen a slide that we have shared, we have about a $1 billion into this thing of expenses, now that's of course pre-revenue but that's around the tech platform, that's around the sales force and that's around the online marketing and as you see in our guide for next year, we are adding to that, and as I said trying to widen and deepen that competitive mode.
Joey Levin: Also HomeAdvisor has a lot more momentum right now than Match did then, I mean things are positive in HomeAdvisor right now and things at Match got popping a little bit -- little bit later.
Operator: And our next question is from Jason Helfstein with Oppenheimer. Please go ahead.
Jason Helfstein: Thanks. So the continued reminiscing, I called that our 2009 initiation and at that time the title was "forecasting challenge compelling values." So just to remind was it now eight years later, so two questions, I want to dig into instant booking to connect. Is there a way to help us understand how far that's now penetrated either on by market basis or a percent of request? And kind of talk about the value where you don't charge for that but it really gives you an ability to prove a transaction and ultimately drive prices over time. And then the second question when you just think about competition obviously you have one better funded competitor that's private, you have a not -- you have a public competitor with a limited balance sheet, how do you think about kind of your desire to spend $100 million in TV marketing relative to what those companies can do and the speed at which you want to get to where you want to go to, those two questions? Thank you.
Joey Levin: Sure. On instant booking and instant connect, penetration I think is around where it's been which is I think give or take 10% little bit more than 10% may be, which is good in the sense that's growing as fast as the rest of HomeAdvisor. I would like to see that growth faster. I think what Chris said here and I agree with it makes sense is that, that's likely to grow in chunks not in sort of steadily meaning as you add features to that that you push hard with the consumer or you push hard with the service professional it will leap up in chunks. And because it's still a counterintuitive process for a lot of the world, I think you think it's faster and easier and more convenient yet there is still a significant portion of the country that believe that they need a set of choices and want a set of choices in their jobs and they want to choose from those choices. By the way there are set of jobs where that is totally right meaning you are not just going to instant connect. Another is instant book I think a bathroom remodel like that is a process where you're going to talk to a bunch of people. So some of the jobs just aren't addressable in that. But also I think that some of the things that launching product will for the job that are addressable start to make that leap up. The other piece is I think there is a second part to the instant booking but I'll go to competition and come back to that, if I can.
Jason Helfstein: A direct price?
Joey Levin: Yes, look HomeAdvisor want to -- sorry the service professionals want to get closer and closer to the transaction. They want to take less and less risk in their marketing and get closer and closer to the transaction and everything what we're doing right now is trying to enable that. It is again it's there is consumer behavior that needs to change a little bit and service professional behavior that needs to change a little bit or may be more than a little bit but we are chipping away at that and it's starting to work. But the closer you get to the transaction, of course the more you can charge and it's not a price increase, it's a way of making everybody happier in that equation. On competition, well I certainly think about the competition when we think about how much to spend. We spend money profitably, we spend all of our marketing dollar, I mean aside with some experimental dollars we spend all of our marketing dollars profitably. And I like to push the limit of that and competition is a factor in pushing the limit of that marketing spend. I don't but the bigger factor in that is remember our biggest competition is word of mouth and it's still 90% of the market. And so we have to do is we educating the consumer that you Jason aren't likely capable or qualified to give your neighbor a good plumber recommendation. You may want to and you want to be nice, so you want to be helpful but you're probably not as qualified as we are to give your neighbor a plumbing recommendation and we want people to -- we need people to understand that and appreciate that and that's part of what we are looking to accomplish in our marketing too.
Glenn Schiffman: I mean just something to pass on around IBIC we pierce through 13 million service requests this year, so even 10% on that number is a big number.
Operator: And we'll take the next question from Brian Fitzgerald with Jefferies. Please go ahead.
Brian Fitzgerald: Thanks guys. Couple of questions on Vimeo. On the SaaS side you mentioned the new profile pages and video review tools are well received, any early indications on what type of impact that's having on engagement either from the production side or the consumption side? Secondly you mentioned those are natural drivers of ARPU wondering if you could give us some color on where it is today, what it's trajectory has been in the past and I'm sure you see it as you continue to make improvements that will drive ARPU going forward? And then maybe just one more from the consumer side of Vimeo, can you remind us what portion of consumption is app versus mobile. How important are platforms like Roku or Apple TV or Samsung and to where you envision the model going?
Joey Levin: Yes, so on the SaaS business the -- we're viewing the profile tools, we talk about feedback. You do see that in engagement, I think we probably follow-up with an engagement side, I don't have one off the top of my head, but we also see it just in community feedback meaning we -- people every time we release some things our community comments on it, good or bad, and a lot -- there was a lot of people writing in or people who are just saying how much they appreciated that. In particular I don't know that the profile page is likely to move ARPU or engagement meaningfully. Those are just things that are just natural improvements in the product. The review product is one where there were competitors who were offering products that offer simply the review feature and they were charging for that service. And so we now roll that service into our product and operate incrementally to our customers and that -- we've done that for free. I think over time as we continue to roll in features that are offered by adjacencies to Vimeo or competitors or other folks that we can start to charge for those services and we will over time do that. We've done that a little bit in introducing new tiers. So ARPU has been shooting up a bit over time as we move the first of all introducing the business tier which is a $600 tier and getting better at moving features between the different tiers so that we can help move our subscribers up to higher paying tiers and that will be the tool for that. We haven't actually moved price, meaning we haven't changed the price of the $60 tier, the $200 tier or the $600 tier, but we have gotten much better at moving the customers between those tiers based on the features that we offer. So I think that's your first question. Your second question was the consumer experience and app versus web versus TV. I going by just found some numbers you have spoken around but I can say just conceptually the -- what you expect is we see significantly what you would expect which is time spent on our television apps is dramatically more than time spent on our mobile apps and our mobile app is actually, this is just purely on the consumer side, our mobile apps people spend more time than they do on the desktop. So that is -- it's kind of exactly what you would expect and as a result of that, we are starting to try to move people from web experiences into mobile experiences and into television experiences so that they spend more time with us and consume more content. I think the business on it just off the top of my head is little bit more than half mobile right now.
Brian Fitzgerald: Exactly right.
Joey Levin: Yes and again it's a little bit imperfect because the creators are spending all of their time on desktop because you're editing videos or you're managing your profile and things like that, that's all going to happen like that that vast majority that is going to happen to your desktop and you can't really parse the experience and you can't really parse the numbers entirely to separate those experiences. But I think overall it's a little bit more than half mobile. On a percentage of users' basis it's very small in television but on a percentage of time that equation changes a bit given how much more time people spend on television.
Glenn Schiffman: Yes, just some numbers around your ARPU question. You saw our subs grew 14% year-over-year and then you saw on our letter bookings were up 18%, so obviously the delta between the 14% and the 18% you're seeing a little ARPU in there which is the mix shift Joey talked about. And then over time that will change as we add -- as Joey mentioned we add functionality and add value where we could increase ARPU against that value.
Operator: The next question is from Chris Merwin with Barclays. Please go ahead.
Chris Merwin: All right, thanks for taking my questions. So first on HomeAdvisor, you mentioned that you started to target some of the SPs with higher marketing budgets and that you're still underpenetrated with that group relative to the competition. I'm curious if you see any parallels with the real estate vertical or you have a minority of higher performing agents and their teams that account for majority of total marketing spend. And I guess I'm wondering also why is larger budget SPs have organically found a way to HomeAdvisor just given how good the ROIs are relative to any other platform. And then just the second question on Vimeo you guided to I think about $40 million in losses for the year mostly front-end loaded. Can you tell us how much of that is investment programming for the consumer SVOT product that you are building out for Vimeo and should we expect that the majority of the content there will be kind of made by the subscribers in a platform at little or no cost to you or you're going to be in search of more professionally produced stuff at higher cost. Thanks.
Joey Levin: Sure. On the HomeAdvisor, the larger SPs I think that one of the things for whatever reason historically has driven that is those SPs believe in used marketing platform, sorry just listing services that kind of marketing where they advertise and don't buy leads. And that I don't know really why that has been the case but that generally had been where they have leaned with their marketing budgets. And so part of what we're doing is educating them and helping them on how to buy leads and what to do with leads and how to make those leads convert. There is also a component to it which was they some of those service professionals didn't want to compete with the smaller folks and we, I think set it up in a way where it makes sense for them and continues to make sense for the smaller folks by delivering the right consumers to the right service professionals. I think that was all your questions on that piece, did I miss one, I can go to that?
Glenn Schiffman: It's not a majority of the market, we estimated it's a third to -- we ended about third of the market as these Power SPs with this big budget. The next is Vimeo let me clarify your question little bit and then Joey will answer it. You said the losses were front-end loaded; they are not exactly front-end loaded, as you know we report in the video segment a couple of different segments. So the timing of our electives TV business, the timing of projects that we deliver that ungulates around and moves the revenue throughout the year. This year you saw we had a big first quarter and a big fourth quarter in electives next year that's going to be back-end loaded. So you have a lack of that revenue, lack of that revenue pulling through in the first quarter and then Daily Burn also in that segment loses money in the first quarter given what the marketing they do around New Years' resolutions and what not around fitness. So the loss at Vimeo per se is not front-end loaded. Joey?
Joey Levin: On how much within there we are spending on content, I don't want to get into those details to disclose those details but we will spend some money on content as we said. In terms of who makes the content we will certainly look to our creator base first and we've done that historically again our favorite example maintenance came out of just naturally Vimeo creator funding the content themselves, getting an audience, we gave them some money to go further and that they agree that audience, agree that brand and grew that content. Content will cost money per share and it is not my assumption that the creators in our community will make the content give it to us for free and we will monetize that. We will pay for content and we will pay for good content. I think that and that will be to our creators and we won't limit ourselves to our creators we will look outside our creators too. But what we've always said about Vimeo is the next generation of storytellers and it is through that the next generation of storytellers maybe less expensive than the current generation of storytellers. And again we saw that in our maintenance where we the money we spent to produce that series was a fraction of what it costs now on HBO. And I think we have a lot more creators, I mean I know we have a lot more creators like that and a lot more opportunities like that sitting inside the Vimeo creator base and it would be our great honor frankly to be able to fund those folks to create more and better content.
Operator: And our next question is from Heath Terry with Goldman Sachs. Please go ahead.
Heath Terry: Great, thanks. I'm wondering if you could give us a sense of to what degree the leads that you are sending on to service providers come directly through the HomeAdvisor site, HomeAdvisor platform versus third-party. And then to the extent that we are seeing marketing spend grow roughly with the overall HomeAdvisor business and then television ads growing 50% versus the 35% growth in that business, where you start to see how much of that you see as being advertising or marketing to fund future growth so that we shouldn't necessarily tie those two things together in the same quarter. And then just finally to the extent that the -- I know you can't discuss the lawsuit in Colorado but to the extent that it that complaints like the ones covered there are having any sort of impact on the way that you think about sourcing leads for that business or the channels that you use?
Joey Levin: Sure I will do that first and the third one and then I'll let Glenn the second one. In terms of direct, the vast majority of what comes into HomeAdvisor comes in direct or through HomeAdvisor owned properties, we do have a affiliate channel, it is a small affiliate channel, it's actually something we have been pairing back over time. But we -- the affiliate channel is a minority and I think of relatively small minority of what comes through HomeAdvisor. And last question is lawsuit, I don't know what lawsuit in Colorado is, why is the lawsuit in Colorado?
Heath Terry: Yes, the air quip lawsuit. The class-action around lead generation permit like that.
Joey Levin: We don't know but it can be that -- we can't be that concerned about it because I don't even --
Glenn Schiffman: We spoke what it is -- we probably commented we think that's what our merit and there has been no impact on our business. That's not new news, not new news that's been rolling around for a little bit, but again we believe it's without merit. In terms of the marketing spend; look we are seeing real leverage in the marketing spend. Overall 34% as I said the growth of 39% that's one. But two I think you have to look at our marketing spend in the context of the addressable market, the $400 billion one that we are going after and then two the 90% that's offline. And given the revenue growth that we're seeing and we're projecting we will gladly spend those marketing dollars again against the $400 million -- $400 billion of TAM and the 90% offline that we're looking to convert.
Operator: We will go next to Paul Bieber with Credit Suisse. Please go ahead.
Paul Bieber: Good morning, thanks for taking my questions. First off at what level of scale would HomeAdvisor be a good candidate for an IPO or spinoff? And then secondly I was hoping you could give an update on the HomeAdvisor partnership with Facebook. How that's going and the coverage that you are achieving on Facebook enabling service providers to instantly book?
Joey Levin: In terms of IPO or spinoff we can roll the tape on the response we give to those questions always which is, it's something we think about all the time with all of our businesses and it's something that we seriously consider but we don't have a formula for it and if or when the time is appropriate for those things, we certainly consider them and/or make them happen. On the second question, the Facebook, I don't think that has been a huge driver of the business yet, I think our goal in a lot of these things is to be the first on these platforms and just see what we can learn into innovate there, I don’t think it's been a huge driver to the business yet.
Glenn Schiffman: I think those speaks to the power of the platform, we are in 400 markets as you know and we provide over 500 services. So as Facebook is looking at who to partner with its someone of our scale on our reach that's the logical counterparty. And for us, as Joey said, it gives us distribution.
Paul Bieber: And one quick follow-up on the HomeAdvisor investor deck there is a slide on sales force efficiency, what are the major drivers of sales force efficiency over the last say 18 months to two years?
Joey Levin: We -- obviously we are hiring better and better people, we've changed over time we have optimized the incentive structure where they could obviously do exceptionally well tied to their productivity. And then just as we keep bringing in freshman classes of sales force we continue to raise the bar and performance.
Paul Bieber: Okay. Thanks a lot.
Glenn Schiffman: I guess maybe I will add on, the other aided and unaided awareness of the overall HomeAdvisor brand that also helps the sales force in terms of reaching out to new SPs as new -- as more and more SPs as no other brand and no other company so it's a warm call versus a cold call. So there is a network effect in there.
Operator: And we can take our next question from Victor Anthony with Aegis Capital. Please go ahead.
Victor Anthony: Yes so I will just stick with HomeAdvisor for now, so how does your marketing strategy change, does it change as you grow the international business. And second and I recently used HomeAdvisor SP and what you like with the volume with SP with HomeAdvisor is the quality of the fleet, I would imagine that's just more of a technology issue and so maybe you could talk about your matching algorithm, what's your appetite there to get there to improve. I would imagine that would be Q2 right to implement conversions retention rates and return rates as well?
Joey Levin: Yes, that's totally right the matching algorithm is key to all of those things and it is something we put a lot of technology into. Quality matters a lot to us. You try and make sure that the math works for the service professional and everything we do is about pushing the quality of the service request of those service professionals. I'm glad that it that the service work for that SP, I think it works for a lot of SPs and it's nice to hear that and we continue to push to make it better every day. On marketing and international, marketing one of the fact of every market is you have to build both the SP base and the consumer base within that individual market and so each one, each country is a start from scratch in that regard. We're actually running creative in Europe right now across multiple countries; we're actually running the same creative in Europe across multiple countries in different languages to see whether we can get that efficiency and have the same creative work across those. I don't know whether it will or not that's an experiment that's live right now but it's going to be, it will likely be unique to every market and we are not running our U.S. creative in Europe right now. I think the other thing is sometimes use local personalities and those things help us well. I think the -- I think we'll learn as go there but that's all I think about it. Glenn you want to add?
Glenn Schiffman: Yes, I mean look on the quality of leads, remember with the exception of IC and IB we just go out to multiple providers. So the guy who responds in at the end of that list, the third guy, the second guy, the fourth guy, it will be a less not as great of an experience for them. Some of the investment you talked about that Joey talked about in the letter around the follow-up is to work with our SPs and help them understand the platform, some of the developed technology enhancements that we're giving to them is to help them track their responses and to make the experience better for them. So we are working on it but it's very much two-way street.
Operator: And we will take the next question from Kerry Rice with Needham & Company. Please go ahead.
Kerry Rice: Thanks a lot. One question on HomeAdvisor and then one on applications business, on HomeAdvisor I think the TAM that you said out service providers is $2 million to $3 million, have you thought about how many of those service providers you can add to the platform, is it all $2 million to $3 million or do you need 50% of that or some percentage of that. And then may be a follow-up to that is of the 148,000 service professionals on the platform today, can you breakout if any of those are international and if so how many? And then finally on the applications business, you saw better at least better than we were expecting revenue on the consumer side, it seems like that's going to get back down in Q1 is that just seasonality or is there something else going on there should we think about that being kind of growing from Q1 through the year? Thanks.
Joey Levin: Sure. So on the number that, we definitely will not have and do not want to have the entire $2 million or $3 million. We've talked about this a lot actually internally and a little bit externally, I don't know what the right number is meaning is it 50% may be but it could be less than 50% sure, I mean what you want is absolute liquidity and high quality. And that will also evolve over time because you'll keep bring in better people and keep throwing out worse people. But you want to have when you have absolute liquidity in a region across all jobs then ending up depth, so in consumer calendar then you got enough and I think we are still a very long way from that but definitely not the entire $2 million to $3 million. On your of the 148,000 none of those are international, we just reported domestic number there. And then on you want Glenn you want to do the Q1 question.
Glenn Schiffman: Yes I'm not sure you could conclude that in our guidance that the consumer business is decreasing, I think you have the --
Joey Levin: There is season -- RPQs are seasonally high in Q4 that's for sure.
Glenn Schiffman: Yes, and I think what we are also seeing there is the partnership business which is we've talked about it before that's on steady decline.
Operator: Thank you. We will go next to Ron Josey with JMP Securities.
Ron Josey: Great, thanks for taking the question. I just wanted to follow-up, I think you mentioned the potential range of newer services at HomeAdvisor given the adoption of mobile and response times and real time availability. Just wanted to get your sense inside on what those services might be? And then on publishing you talked about the progress and virtualization of the platform and specifically plan to launch three new verticals this year, any insight on what those might be and your launch plans, beta test et cetera that would be great? Thank you.
Joey Levin: Sure. The second question the three new verticals we do know exactly what those are although I don't off the top of my head recall exactly what those are, it will be the same launch plan as we did in the first three verticals which is we migrate a content over to the new brand, we migrate only the content that we want on that new brand, and we hopefully if we have any other ones, change the traffic trajectory such that it starts growing again and we have dedicated sales in that area such that they can -- we can sell in endemic category. That will be the plan across the net three per share, somebody told me right now, I think one is home, one is travel and I can't remember what the third is actually.
Glenn Schiffman: Education, religion and more of tax all for the rest of the legacy about business.
Ron Josey: Got it. And maybe I will just rephrase the first question just to be specific you said Joey imagination runs a wild with range of services that a real time data provides and just want to understand your thoughts out on there.
Glenn Schiffman: Yes, look I don't we have a very specific plan and very specific products we are going to launch there but I just didn't want to disclose that actually the management team didn't want me to disclose them yet. So we'll wait and make announcements over the course of the year in terms of what those products are but I think there is some cool stuff.
Joey Levin: Operator. Was that it?
Glenn Schiffman: Yes, I think so. We can take one more.
Joey Levin: Operator can we take one more question.
Operator: Certainly and we can take that question from Kunal Madhukar with Suntrust. Please go ahead.
Sagar Vachhani: This is Sagar on for Kunal. Can you help us understand the current international versus domestic breakdown that Vimeo to ramp marketing there in terms of subscribers, traffic and like. And also second question I know you might not be able to answer but you get any sense in whether Vimeo direct to consumer offerings may be rolled out geo by geo over time or is this going to be a global launch. Thanks.
Joey Levin: Yes those are both the questions, International the creator base in the SaaS business I think is about 50% international in terms of paying subs. The -- in terms of the consumer business and how we will roll that out I think we will probably start with just North America, I mean we are not totally locked on that plan. But I think we will probably start with just North America. There is bunch of compilations around delivering globally our services global today but for that consumer service I think that's exactly where we be in.
Joey Levin: I think that's it for the call. So thank you all for joining us.
Glenn Schiffman: Thank you guys and we will talk to you next quarter.
Operator: And this will conclude today's program. Thanks for your participation. You may now disconnect. Have a great day.